Hanna Jaakkola: Dear all, welcome to Kesko's Q2 2025 Release Call, and also welcome to warm Helsinki, at least virtually. Today's headline is steady profit development, turnaround in construction cycle slower than previously anticipated, and it describes the Q2 and also our guidance update well. Our agenda today is the following: President and CEO, Jorma Rauhala, will give the Q2 presentation. We have here together with us our business division Presidents, Ari Akseli for Grocery Trade; Sami Kiiski for Building and Technical Trade; and Johanna Ali for Car Trade as well as CFO, Anu Hamalainen. After Jorma's presentation, it is time for questions, both by phone and via chat function. All the materials related to Q2 can be found at our website, kesko.fi under Investors. My name is Hanna Jaakkola, responsible for IR at Kesko. I will be at your service after the presentation for your questions and discussions. But now Jorma, the virtual stage is yours.
Jorma Rauhala: Thank you, Hanna. Ladies and gentlemen, welcome also on my behalf to this release call. I'm Jorma Rauhala, and I have now the pleasure to present Kesko's Q2 results. Steady profit development, turnaround in construction cycle slower than previously anticipated is our headline. Q2 was actually better than we expected for Grocery Trade and Car Trade, but construction cycle improvement has been slower than anticipated and Building and Technical Trade was comparably slightly below our expectations. Now I will give an overview of our business performance and open up elements behind the result. In the end, I'll present the updated guidance and outlook for 2025, and we are ready for the Q&A. Summary of Q2 2025. Net sales increased, profit improved by nearly EUR 5 million in comparable terms, meaning excluding share of results from Kesko Senukai from both Q2 '25 figures as well as from comparison period. In Grocery Trade, net sales increased and comparable operating profit decreased slightly. Profit improved in chain operations, meaning food retail operations, but decreased in Kespro and K-Citymarket's nonfood operations. In Building and Technical Trade, net sales increased, especially supported by the acquisitions. Comparable operating profit improved slightly, excluding share of results from Kesko Senukai. In Car Trade, net sales increased in new cars and used cars. Comparable operating profit grew clearly. In Denmark, CF Petersen & Son acquisition was completed at the end of April and Tømmergaarden acquisition at the end of May. Profit guidance for 2025 is specified. Kesko now expects its comparable operating profit for the current year to be in the range of EUR 640 million to EUR 700 million. Net sales in Q2 totaled over EUR 3.2 billion. It was up by EUR 95 million. Net sales increased in all businesses. Rolling 12 months, net sales increased to over EUR 12 billion. In Q2, comparable operating profit was EUR 176.7 million and operating margin was 5.5%. Comparable operating profit increased by EUR 4.8 million, excluding share of results from Kesko Senukai, which was EUR 6.3 million last year. This time, Kesko Senukai did not report its financial asset yield. And therefore, in Kesko's Q2 '25 reporting, the share of results from Kesko Senukai is zero. There was a good Kesko Senukai Board meeting last week, and we received preliminary Q2 figures. Kesko Senukai figures were at last year's level. This time, the official figures were not reported on time, but going forward, we will receive figures normally. Comparable operating profit increased in Building and Technical Trade and in Car Trade and decreased in Grocery Trade. Rolling 12 months operating profit was EUR 645 million and operating margin was 5.3%. Return on capital employed was 10.7%. Return on capital employed increased in Car Trade was down in Building and Technical Trade and in Grocery Trade compared to the year-end. Financial position. Cash flow from operating activities increased year-on-year and was EUR 324 million. Capital expenditure totaled EUR 317.6 million. I'll open up investments on the next page. Net debt to EBITDA was 1.8. It increased, but is still well below our maximum target of 2.5. Interest-bearing net debt increased year-on-year as a result of investments in acquisitions, grocery trade, store site network and logistics. Capital expenditure totaled EUR 317.6 million. We continued the investments in growth and the main CapEx in Q2 was the acquisition of CF Petersen & Son as well as Tømmergaarden. Store site investment in Grocery Trade and the construction of Onnela, Onninen and K-Auto's shared logistic center in Hyvinkaa, Finland. Expenses. Expenses have increased mainly due to acquisitions. Expenses, excluding the latest acquisition, were up by only 0.6%. This is a great achievement taking into consideration the salary increases. Now to Grocery Trade, where we saw stable sales and profit performance. In Q2, net sales totaled EUR 1.6 billion and increased by EUR 9 million. Timing of Easter supported sales development. Kespro's net sales declined by 0.7%. Rolling 12 months' net sales totaled nearly EUR 6.4 billion. In Grocery Trade, comparable operating profit for Q2 was EUR 111.3 million, and it declined by EUR 3.2 million. Profitability was strong, 6.9%. Kespro's operating profit declined by EUR 3 million. Rolling 12 months' operating profit was EUR 425.1 million and operating margin was 6.7%. In Grocery Trade, net sales increased and comparable operating profit improved in chain operations, but decreased in Kespro and K-Citymarket's nonfood trade. K Group grocery sales were up by 2%, partly impacted by the timing of Easter, which fell on April this year and on March in '24. Kespro's net sales were down by 0.7%, still again exceeding the market growth. K-Citymarket food sales were down by 0.4%. Customer flows continued to grow, thanks to the price program and campaigns. Average purchase was also up. Online grocery sales were up by 10.1%. Total grocery market grew by approximately 3.2%. General grocery price inflation in Finland was approximately 2.3%, but with our sales mix, it was 0.6%. Market share loss declined and K-Citymarket chain gained market share in the hypermarket segment in Q2 and also for the first half year. I'm very pleased with this development. We have emphasized the hypermarket's role in our network strategy, and we have also seen the market share improving in hypermarket segment. In general, the growth in Finnish grocery trade is the strongest in larger store formats. Customers come to hypermarkets primarily for food shopping. K-Citymarkets are large urban grocery stores with 80% food sales and quite compact nonfood part of 20% of sales. We have currently 82 K-Citymarkets. Hypermarkets play a crucial role in the development of Kesko's store network. 5 new and 3 replacement K-Citymarkets will open in upcoming years. This autumn, 2 will be opened, one in Ideapark shopping center near Tampere and another one in city center of [ Vati ] Southern Finland. The focus is on growth centers and urban locations. Each K-Citymarket has a store-specific business idea, which is tailored to local customer base, and it is operated using an efficient chain operation model. K-retailers operate food sales, while Kesko is responsible for nonfood items. Growth in nonfood sales has lagged behind the growth in food sales in recent years. So there is plenty of growth potential in nonfood part. We have launched an extensive program to improve K-Citymarket's nonfood trade. The objective of the program is to have a more store-specific approach also in nonfood sales and to support the business ideas for food trade using data. The customer flows are in place. So our aim is to support regular convenient shopping. In terms of product categories, focus is on beauty, home and everyday clothing. New initiatives include, for example, expanding and modernizing flower departments. Also, we are aiming to increase the role of own brand products in the nonfood business. The online stores for food and nonfood items have been merged to ensure better and easier customer experience. Now to Building and Technical Trade. Cycle is turning, but pace of recovery is slower than previously anticipated. In Building and Technical Trade, net sales increased by EUR 33 million to EUR 1.2 billion. The increase was supported by the Danish acquisitions. Net sales decreased in comparable terms by 1.5%. The trading days were negative compared to last year. Rolling 12 months' net sales were over EUR 4.4 billion. Comparable operating profit for the Building and Technical Trade division totaled EUR 50.9 million and operating margin 4.1%. As we did not have Kesko Senukai's results in our numbers this quarter, but they are included in the comparison period, operating profit increased by EUR 1.1 million in comparable terms. Rolling 12 months' operating profit was EUR 168.8 million and operating margin was 3.8%. Comparable operating profit increased, thanks to positive profit development in Building and Home Improvement business. In Building and Technical Trade, the Q2 result improved year-on-year, excluding the profit impact from Kesko Senukai. In Building and Home Improvement trade, comparable sales growth was weaker than expected due to slow recovery in building construction. Sales for late cyclical technical trade fell short of last year. In Finland, K-Auto sales grew in both the B2B and B2C segments, but Onninen sales decreased year-on-year. In Norway, sales were slightly down for both Byggmakker and Onninen, but profit improved clearly. The profit improvement was nearly EUR 10 million, thanks to our own actions to improve the business performance. Solving the issues we have had in Norway has been one of the clear priorities in BTT division. In Denmark, Davidsen sales development was strong. Integration of acquired companies is proceeding as planned. In Sweden, the ramp-up of converted K-Bygg stores is still ongoing. It had a negative impact on sales and profit. The original K-Bygg network is performing well. Like I said, the construction cycle is turning, but the pace of recovery is slower than previously anticipated, especially in new building construction. Credit risk is well under control. Write-downs of overdue trade receivables totaled EUR 0.9 million. And as I told earlier, Kesko Senukai did not report its financial asset yield. And in our Q2 '25 reporting, the share of results from Kesko Senukai was zero. And last year, it was EUR 6.3 million. We have received preliminary information from Kesko Senukai and the figures were at the last year's level in Q2. In this picture, we can see K-Rauta's and Onninen's sales development in Finland since 2019. We have showed this picture many times already. And here, you can see the Q2 development, too. Here, it's clearly visible that the growth pace slowed down in Q2. We can also see the late cyclical nature of Onninen business lagging behind K-Rauta. Typically, late cyclical Technical Trade picks up some 6 months after a turnaround in building and home improvement B2B sales. K-Rauta is the market leader in building and home improvement business in Finland and Onninen in technical trade. This picture describes the Finnish building and technical trade market well. This is Byggmakker sales development. Norway is our second largest operating country, and Byggmakker is among the largest players in the market and focused on B2B trade. Here, we see the same type of development as in Finland. Q2 sales declined. But as I said, profits improved clearly in Norway. Cycle is similar in Norway as it is in Finland. And now let's look at our Danish operations after completing all the announced acquisitions. After completing a total of 4 acquisitions in just less than 2 years, we have now a nationwide building and home improvement trade network in Denmark. Kesko holds 90% of shares in Davidsen and Davidsen bought these 3 new players, Roslev, CF Petersen and Tømmergaarden this year. All these 4 companies used to belong to XL Byg chain and all are focused on serving B2B customers. As you can see in the map, the store network covers the whole Denmark. This is important since the building and home improvement trade is based on physical store network supported by digital services. After all the acquisitions, Denmark is Kesko's third largest operating country after Finland and Norway with some EUR 800 million sales. Davidsen total market share is nearly 20%, and it is the #3 in Denmark. Currently, the construction cycle is improving faster in Denmark than in other Nordic countries. In Car Trade, in Q2, the profit improvement was significant. In Car Trade, net sales for Q2 increased by EUR 53 million and were EUR 352 million. Net sales increased in new cars, used cars and sports trade, but decreased in services. Rolling 12 months' net sales were almost EUR 1.3 billion. The comparable operating profit totaled EUR 21.6 million and increased by EUR 6.8 million year-on-year. Operating margin was 6.1%. Rolling 12 months' operating profit was over EUR 77.6 million and operating margin was 6%. Market demand for new cars continue to be muted. Q2 first registration of passengers cars and vans were up by only 0.4%. First registration of Kesko brands were up by 32.6% in Q2. This is a great achievement, and we gained heavily market share in new car segment. The updated strategy with focus on 3 car trade business areas and continuous development of operation are now yielding results. Net sales and comparable operating profit grew clearly despite the challenging market situation, thanks to strong new car sales, especially  Volkswagen's EV model sales increased. Used car sales also clearly outperformed the market. Service sales decreased. Net sales and comparable operating profit increased in sports trade. Strong model range have supported the good sales development, especially Volkswagen ID.4 and ID.7. Also Audi Q4 e-tron's demand has been good. And now specified profit guidance and outlook for 2025. Profit guidance for 2025. Kesko Group's profit guidance is given for the year 2025 in comparison with the year 2024. Kesko's operating environment is estimated to improve in 2025, but to still remain somewhat challenging. Kesko's comparable operating profit is estimated to improve in 2025. Kesko estimate that its 2025 comparable operating profit will amount to EUR 640 million to EUR 700 million. Kesko previously estimated that the comparable operating profit would amount to EUR 640 million to EUR 740 million. The profit guidance issued now includes the acquisition completed in Denmark in the first half of the year. Their impact on Kesko's 2025 comparable operating profit is estimated to amount to less than EUR 5 million due to costs related to integration and the completion of acquisitions. Kesko Senukai did not report its financial figures for the first half of the year as scheduled. The profit guidance is based on the assumption that the share of results from Kesko Senukai will be at the same level as in 2024. The updated profit guidance is based on developments in the first year half and updated estimates regarding a slower-than-anticipated cycle recovery in Building and Technical Trade. Key uncertainties impacting Kesko's outlook are developments in consumer confidence and investment appetites as well as geopolitical crisis and tensions. Outlook for 2025. In Grocery Trade, B2C trade and the foodservice market are estimated to remain stable in '25. The comparable operating margin for the Grocery Trade division is estimated to stay clearly above 6% despite the investments in price and the store site network in accordance with Kesko's strategy for '24-'26. In Building and Technical Trade, the cycle is expected to improve in 2025 from the historically low levels. Profitability in the Building and Technical Trade division is estimated to improve on 2024, but the cycle turnaround in new building construction in particular, will be slower than previously anticipated. In Car Trade, the market for new cars is expected to stay at the low level. Demand for used cars and services is estimated to remain good. Profitability for the Car Trade division is estimated to remain at a good level in 2025 despite weak demand for new cars. Thank you. This was my presentation. To summarize, the performance of the second quarter was good despite the slower pace of cycle recovery in Building and Technical Trade. It is recovering. The pace is just lower than we originally expected. We see positive development in Grocery Trade. The Q2 profitability was very strong. Our strategic actions like the price program and new hypermarket openings are working well. We see signs of recovering market share development, but it takes time to see the full effect. Car Trade is doing very well. We are the only operator with the entire car trade value chain, new and used cars, services, leasing, charging and the strategic choices pays off now. I see the market situation in all 3 divisions better this year compared to last year. I guess it's time for questions now.
Hanna Jaakkola: Thank you, Jorma, for your presentation. So let's take the questions. First, we turn to the conference call line, and then I will ask the questions that you are typing into the chat function. [Operator Instructions] conference call line, please.
Operator: [Operator Instructions] The next question comes from Fredrik Ivarsson from ABG.
Fredrik Ivarsson: Two questions from my side. First, you mentioned that Grocery Trade performed, I guess, above your expectations in H1. And in your guidance, I wonder what do you assume in terms of market share as you look into the back half of the year? Do you expect to grow above, below or in line with the market?
Jorma Rauhala: Okay. First part, when it comes to our Grocery Trade market share, as we mentioned, second quarter was better than first quarter. And especially, we are very pleased that in hypermarket sector, which is a very competitive sector, we gained market share in Q2, but also first half of the year. I believe that quarter-by-quarter, we improved our performance. But still, after half of year, we are still behind the market level. So most probably, we won't gain market share this year, but latest next year. But Ari, do you have something to add.
Ari Akseli: I totally agree with that. We have 3 points how to traverse market, and it takes time. Price program is, of course, important part of them. And quality, we are improving the quality level in the auto stores and also standard store network. It takes time, but we are very pleased that in the biggest market, most growing market, hypermarket market. We are already gaining market share. That's a huge change. And also, we can see promising development in other chains.
Jorma Rauhala: Yes. And of course, it's very important to remember that also profitability is very important for us. And as we have mentioned that clearly above 6%, it should be. And yes, it's very nice on that level, even better now.
Fredrik Ivarsson: Yes. That's clear. And the second one on these Danish acquisitions. How have these 3 companies performed during the first half of 2025, I guess, both in terms of sales and adjusted earnings, if you could say anything about that?
Jorma Rauhala: Yes. We have to remember that, if I remember right, one of those has been only 1 month in our figures and one is 2 months and one maybe 4 months. So they are performing now as we expected. Also the -- always the first months are quite difficult because we have to remember that there is a quite heavy integration what we are doing. We changed the whole ERP system, for example, we changed the whole brand and things like that. But it was the same when we acquired Davidsen, first months were not so strong, but we are -- I would say that very pleased how we are performing there now. And of course, after we have completed this integration, then we start to get those synergies. But Sami, do you want to add something about.
Sami Kiiski: Yes. Thank you. And like Jorma already well and rightly pointed out, it's like the picture is like that, but we need to also remember always that it has been only one or a few months, these new acquired companies in our numbers. And of course, there has been a lot of integration done. But we see positively also last part of the year that, that we get the whole engine running now with the new companies or new areas also, and we are a national player. So we are well positioned. And also, of course, we know the quarter 1 numbers. And there, we can clearly see that we are performing with the, let's say,  got into old Davidsen, we are performing better than the market. So we are very happy about that one. So we believe that we have a good setup there. And now it's just to accelerate and performance, yes.
Operator: The next question comes from Maria Wikstrom from SEB.
Maria Wikstrom: This is Maria Wikstrom from SEB. I had a few questions as well. I could take them one by one. I would start with the Grocery Trade market share development. And as you said that I still -- after the first half, you are below the overall market. And my question is that, is there more measures you are planning to take in order to boost your market share in the coming quarters? Or are you happy with the price program that you initiated in January?
Jorma Rauhala: Yes. We have implemented the price program what we started on January as we planned, and we will continue that one. But of course, it is a good situation what we have now because the Q2 profit was so strong. So we have good possibilities to continue and even use more money if needed when it comes to sales increase. But like Ari already said, it's not only price program. It's also a quality program. It's our store side network. And for example, the store side network, there will be 2 new hypermarkets this year and a couple of new also next year. So those will support also that one. But Ari, anything to add, but I think...
Ari Akseli: I think that's the case. We are planning opening these 2 new hypermarkets, and they are very important to how to gain market share. The impact of the such one single hypermarket can be as big as from 0.1% to 0.2%. So they really are minimal.
Jorma Rauhala: Really, I'm so happy about K-Citymarket. As we know, the competition in this hypermarket sector, mainly K-Citymarket and Prisma who are operating there. And in that area, we have gained market share. So I think that's the good start. And then we just have to continue with the other segments also.
Maria Wikstrom: Yes. And then the second question, you showed the sales trend in K-Rauta and it slowed down in the second quarter. Do you think this is something weather related? Or is there more to it? So is the expectation -- the trend will continue in the second half? Or is this just like a Q2 blip in the sales trend?
Jorma Rauhala: Yes, very interesting question, very difficult to answer. Of course, like we said, the sales growth, the whole market growth. We have to remember that all the forecast company has decreased their forecast when it comes to building and construction market. And of course, we believe that the Q2 would be a little bit stronger when it comes to K-Rauta and Onninen sales. I would say that not so many percent units when it comes to sales growth. It's some 1 or 2 or 3 maximum percent. But we still believe that the latter part of this year will be stronger. And I think there is no reason why we shouldn't believe like that. We know that all the things are there, interest rate is okay now, consumer purchasing power has increased and all of those -- it's mainly consumer confidence was the question about, but we believe that the latter part of the year will be stronger. I don't believe any, let's say, double-digit numbers this year and next year will be stronger, but some growth.
Maria Wikstrom: And then my final question is also on the P&T and on the different construction market trends. So if you could describe a bit that, I mean, how does the market trends differ in your markets, so in Finland, Sweden, Norway and Denmark. It looks from the figures that the Danish market is performing much better than the other Nordic markets, but if you could give a little bit more color.
Jorma Rauhala: Yes, you are right. The Danish market is the strongest one, our figures and also the market figures. And I would say that the Danish -- Denmark is the strongest and maybe Finland is the weakest now. And Norway, Sweden, somewhere between there. In Sweden, the consumer business is better than B2B business. But like you said, Denmark is the best, Finland weakest and other countries somewhere between there.
Operator: The next question comes from Svante Krokfors from Nordea.
Svante Krokfors: Svante from Nordea. I have a couple of questions. First one on Grocery Trade. Have you had any issues or problems in controlling the margin that you have promised to keep clearly above 6%. Has that had any impact on -- negative impact on your top line? Or could you elaborate a bit around that?
Jorma Rauhala: Maybe, Ari, you can take this one. But yes, a strong quarter. And of course, there were maybe some last year, for example, Neste K was of kind of loss-making. It supported our figures this year. Also, there was something like store site maintenance costs, they were lower this year than last year. Ari, can you add something, but there was some of those reasons that you saw stronger profit this year.
Ari Akseli: Yes. And also, we have positive impact with the price program because we were able to get quite good support from the supplier side, which is also supporting the price program. And to add also that the negative effect of the Neste K chain when we closed down the whole chain, it's improving the profitability of the whole division now. And I also would like to add that we have very strong database tools how to handle out gross margin. So we are very able to get the right direction all the time even in the store level.
Hanna Jaakkola: Also just to add to the sales numbers, so top line, you have to -- Svante remember that May and June were exceptionally cold. So we could see also in our sales numbers that, for example, sales of barbecue products, ice cream, soft drinks and well, sun protection or insect repellents sold really poorly. But of course, that's the same for the whole market, but that had a clear impact on sales -- even if we don't typically blame weather, but we have to highlight this.
Ari Akseli: Yes. And especially, you can see that also in the clothing categories, which are typically high-margin categories. And of course, when you have -- no sun at all in May and almost same in June. It's very sad for -- also for the foodservice side of the business, especially with the [indiscernible] sales in the restaurants.
Jorma Rauhala: And now we can see the positive effect of warm weather now in July.
Ari Akseli: Yes. That's important. And if you look about the numbers in July, it's also supported with the berry sales. Berries are very important in the summertime.
Hanna Jaakkola: Berries In July instead of June.
Svante Krokfors: That's helpful. Second on Car Trade. Can you give some description about your expectations for H2 versus H1?
Jorma Rauhala: Johanna, maybe you could take this one.
Johanna Ali: Thanks for the question. Yes, we -- like commented, we estimate the business to continue as it has started now. So the market will be for the new cars, it will be really, let's say, slow or at least limited. But for the used cars and services, we expect to have quite okay market. And our performance is estimated to continue good as commented.
Svante Krokfors: And on your guidance, the fact that you lowered the top end, is it correct? I think you wrote it also, but it's purely based on BTT slower recovery? Or is there -- I mean, Car Trade has been probably a bit better than expected, but it's purely BTT that takes down the Car Trade there.
Jorma Rauhala: That's right. BTT and yes, yes, you are right. Yes.
Svante Krokfors: And then the last question on the Senukai issue. You said that you will get numbers again from Q3, but could you specify how will you report the -- will you adjust the Q1 and Q2 numbers backwards? Or will you report the full impact in Q3? Do you know technically how you will correct the Q1 and Q2?
Jorma Rauhala: Yes. As I mentioned, they have a good Board meeting last week in Kesko Senukai, and now we have agreed. We will get those figures normally in the coming months and coming quarters. And I think that after Q3, we know Q3 figures and the whole year after that. Is it Johanna?
Johanna Ali: It is like that. And I think that most probably, we will report it in Q3 the numbers, but then, of course, give the comparable numbers so that you are able to match them.
Operator: The next question comes from Rob Joyce from BNP Paribas.
Robert Joyce: Mainly on grocery for me. Firstly, I just wanted to confirm, I heard you say that your grocery inflation was only 0.6%, so around 150 basis points below the market in the quarter. Did I hear that correctly?
Jorma Rauhala: Yes. Yes, that's true, 2.3% was the kind of Finnish statistics figures and 0.6% is our sales mix. For example, that -- those products that includes -- this price program, more than 1,000 products, the sales increase on those are double digit. So that's the main reason about that.
Robert Joyce: Okay. So that would suggest to me that you maybe took a bit of share in volume terms. Could you confirm that, that's correct? And maybe give you an idea where that volume share is coming from?
Hanna Jaakkola: Did we take volume in the market...
Jorma Rauhala: Market share, obviously it's very difficult to say.
Ari Akseli: It's difficult to say in volume, you can say that situation was better, but how to calculate it in the -- at the end of the day, it's too difficult to say.
Jorma Rauhala: And of course, we don't know our competitors' kind of sales mix and their inflation is. 2.3% is from the kind of Finnish statistics and how right is that? I don't know.
Ari Akseli: Yes.
Robert Joyce: Understood. Understood. And then just on the margin side. So am I understanding you correct and you're saying that you think the margin could have been even better if it wasn't for some of the seasonal headwinds in the quarter? And for the back half of the year, how do we think about that grocery margin? Is it going to continue to -- is 2Q a good reference point in terms of year-over-year decline? Or should we think of the first half would be helpful.
Hanna Jaakkola: Well, I have to correct that Jorma said in the beginning that the grocery trade was a bit better than expected in Q2.
Jorma Rauhala: Yes. It's better than what we expected. That's still what we have said that clearly above 6% is our expectation about that one. And that's still very valid. And I say that this Q2 was a little bit better than we expected, especially in this kind of chain operations.
Operator: The next question comes from Arttu Heikura from Inderes.
Arttu Heikura: It's Arttu Heikura from Inderes. I missed a couple of minutes from the start, but my question is, I guess, the Onninen's profit improved outside Finland, although the revenue declined somewhat. So could you tell us what were the main reasons behind this profit growth?
Jorma Rauhala: Yes, it's clear. It was Onninen Norway because as we mentioned earlier, we have some issues when we integrated Elektroskandia and Onninen and kind of new ERP systems and 2 warehouses and things like that, but we have solved now those problems. And I'm very pleased about Norway and both Onninen and Byggmakker. Onninen gained market share first half of the year and also the profitability increased quite nicely. So that's because of Onninen Norway.
Operator: The next question comes from Miika Ihamaki.
Miika Ihamaki: This is Miika from DNB Carnegie. My first one is on the slide, you're showing that Onninen or technical trade usually follows the Finnish DIY by a 6 month lag. And that's what we've sort of seen adjusted for delivery days, K-Rauta peaked early in the year, but Onninen was still sluggish in Q2. You've seen now start of July. What do you expect H2, Q3 development for Onninen? Is it going according to your expectations in Finland, so on the slides? -- as you show on the slides?
Jorma Rauhala: All in all, we believe that the latter part of the year will be stronger for both  K-Rauta and Onninen and also we believe that Onninen will -- what will be the month that the sales will be positive, I'm not sure, but not any big changes what comes to July, not any negative news, I would say. So we believe that the third quarter will be better than the first 2 quarters.
Miika Ihamaki: And then on your guidance still, so you delivered better than your expectations on Car Trade and Grocery Trade and sort of your commentary indicates that H2 will at least continue along the same trends or lines. So hence, what is -- why the cautiousness on your guidance trim? Is it now stemming from really slower-than-expected. Finland, although you highlight that it's stemming from all operating countries. But I was just wondering that is Finland clearly weighing biggest or most in the equation, making you the most cautious here?
Jorma Rauhala: I would say that all countries, for example, if we look those Euro construction forecast, what they delivered when the year started and now what they published in June, all the countries has decreased also in their figures. And we have seen kind of same. And I think that's the case. So there are some differences, as I mentioned earlier, that Denmark is a little bit stronger than other countries. But also in Denmark, they a little bit decreased the forecast all in all. So all in all, a little bit weaker market than we expected and market expected, not so much, but a little bit. And that's the case and reason why we changed this guidance because of Technical Trade.
Hanna Jaakkola: Thank you, Miika. Any further questions? No more questions from the conference call line, but I have one question from the chat function. So that is about Car Trade. Any campaigns or marketing activities behind the strong sales of new cars in Q2? Or are there tendencies for stronger underlying demand? Is it for Johanna?
Johanna Ali: Yes. Thanks for the question. Maybe to start by commenting that this kind of strong performance is, of course, based on many things, and I'm really happy about the overall performance of the car sales team. And maybe the key is the systematic and continuous development already for a longer period and now it's yielding results. But like we know, market demand for the new cars is still muted, pretty low. And therefore, we can't see that kind of like an underlying increased demand. Then coming to our sales, there are also, of course, campaigns like typical in new car trade, mainly to -- mainly or most important to comment is the Volkswagen 75 campaign was fully Finnish operations and related that Volkswagen has been 75 years in Finland, and that has worked really well. But yes, that's one campaign to comment. But overall, I think the performance is based on many topics and overall good performance in our team.
Jorma Rauhala: Yes.
Hanna Jaakkola: Very well. That was all. No more questions here. Thank you for the comprehensive questions and a very good discussion. Any last thoughts, Jorma?
Jorma Rauhala: Yes. I want to thank those quite many questions. It's summertime and holiday time, but very good questions. And I think I don't have any summarizing anymore. I wish you all a very, very nice summer. And at least in Finland, the warm weather is going to be at least a couple of days. We don't know what comes the next week. But thank you, and have a nice summer. Thank you.
Hanna Jaakkola: Thank you.